Operator: Ladies and gentlemen, thank you for standing by and welcome to the Greif Second Quarter 2020 Earnings Conference Call. At this time, all participants are a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today Matt Eichmann. Thank you. Please go ahead, sir.
Matt Eichmann: Thank you, Tucan [ph] and good morning everyone. Welcome to Greif’s second quarter fiscal 2020 earnings conference call. On the call today are Pete Watson, Greif’s President and Chief Executive Officer; and Larry Hilsheimer, Greif’s Chief Financial Officer. Pete and Larry will take questions at the end of today’s call. In accordance with Regulation Fair Disclosure, we encourage you to ask questions regarding issues you consider material because we are prohibited from discussing significant non-public information with you on an individual basis. Please limit yourself to one question and one follow-up before returning to the queue. Please turn to slide two. As a reminder, during today’s call, we will make forward-looking statements involving plans, expectations and beliefs related to future events. Actual results could differ materially from those discussed. Additionally, we’ll be referencing certain non-GAAP financial measures and reconciliation to the most directly comparable GAAP metrics can be found in the appendix of today’s presentation. And now, I turn the presentation over to Pete on slide three.
Pete Watson: Hey, thank you Matt and good morning, everyone. We really appreciate you joining us today. On behalf of Greif, I'd like to offer our thoughts and best wishes to all of you who have been impacted by COVID-19 pandemic and express our thanks and admiration for the brave healthcare workers and first responders in the frontlines of the health crisis. I'd also like to recognize our 16,000 global colleagues at Greif and their families for their enduring spirit and perseverance as we've been adapting to new ways of working and communicating. And I'm really inspired by the efforts and proud of our performance and the global team that we've delivered during the crisis. COVID-19 pandemic remains an evolving situation and we continue to monitor the latest updates. Our global and regional pandemic taskforce are meeting multiple times weekly to ensure we safeguard the health of our colleagues and the continuity of our supply chain to serve our valued customers. Our purpose at Greif is to safely package and protect critical goods materials that serve the greater needs of communities all around the world. And given our position, Greif has been identified as an essential business as we continue to operate all of our production facilities in more than 40 countries. Our global portfolio is uniquely capable of fulfilling customer needs worldwide, and our sourcing and supply chain is well supported with extensive alternate backups in place for all critical products and components. If you could please turn to slide four for an overview of the quarter. We continue to make really strong progress across all of our strategic priorities. Our second quarter adjusted EBITDA and adjusted free cash flow, both improved versus prior year quarter, with especially strong performance in our global Rigid Industrial Packaging segment. In addition to improve financial performance, we completed our third annual Gallup colleague engagement survey scoring in the 89th percentile of all manufacturing companies. We also record our best ever trailing fourth quarter customer satisfaction index score. We firmly believe there's a linkage between engaged colleagues and customer service excellence to improve financial performance. We also published our 11th annual sustainability report, which reflects the progress we've made to reduce our environmental footprint and build a more circular supply chain as part of our overall business strategy. Lastly, we completed several portfolio optimization moves aligned to advancing our strategy. First, we acquired a minority stake in Centurion Container, which is an expanding IBC reconditioning capability in North America, and we have an optional path to full ownership in the future. Second, we completed the sale of the Consumer Packaging Group to Graphic Packaging for $85 million subject to customer closing adjustments, enabling us to refocus on our industrial franchise, optimize our capital expenditures and paydown debt. Third, we announced yesterday the closure of our Mobile, Alabama Uncoated Recycled Board mill as part of our ongoing network cost optimization initiatives. We also consolidate two Rigid Industrial Packaging operations, one in Brazil and the other and the West Coast of the United States as we examine ongoing our portfolio performance in that business. I'd like to now review our business performance by segment, and if you could please turn to slide five. Our Rigid Industrial Packaging business delivered a solid second quarter. We generated record global IBC production with volumes 26% higher versus the prior year quarter, thanks primarily to our new IBC investments in Tholu, which is an IBC recondition in Europe and our two new IBC plants, one in Houston, Texas, and the other in Kaluga, Russia. Global steel drum volumes declined by 70 basis points versus the prior year quarter. Steel drum demand in EMEA, which is our largest steel drum region, grew by roughly 60 basis points. And North America increased by 1.6% due to strong first half of the quarter fueled partly by increased customer stocking and new customer growth. Steel drum volumes in APAC roughly flat versus the prior year. While volumes in Latin America were down nearly 16% due to weak demand for lubricants, as well as the loss of a low margin high volume customer. RIPS Second quarter sales fell roughly $9 million versus the prior year quarter on a currency neutral basis due to raw material price declines in corresponding contractual pricing adjustments, which was partially offset by strategic pricing actions and better volumes in certain regions. RIPS second quarter adjusted EBITDA rose by roughly $23 million versus the prior year quarter due to favorable product mix, lower raw material costs including roughly $7 million of opportunistic sourcing benefits and lower segment SG&A expenses, all partially offset by the impact of lower sales. For comparative purpose RIPS in our second quarter of 2019 adjusted EBITDA was negatively impacted by $1.5 million customer bankruptcy bad debt write-off that was previously disclosed. I'd like to now have you turn to slide six. Given the extraordinary time we find ourselves in, I want to spend a moment to discuss what we are currently seeing in the market. One of the Greif strengths is our broad end market exposure and our business is not overly dependent on anyone customer or anyone segment. Broadly speaking, during the quarter we experienced additional demand for pharmaceuticals, sanitizers and disinfectants, partly due to the pandemic and buying softness in lubricants paints and coatings as economic activity slowed. Looking ahead, we anticipate several of these end markets improving as economies reopened, and those currently strong will remain that way. If I'd ask you to turn to slide seven. Our flexible products & Services segment second quarter sales fell roughly 9% versus the prior year quarter on a currency neutral basis. Soft demand, raw material price declines, and corresponding contractual pricing adjustments were the main drivers. Our second quarter adjusted EBITDA fell by roughly $1 million versus the prior year due to lower sales, which is partially offset by lower segment SG&A expense. We estimate that FPS lost roughly $600,000 in adjusted EBITDA during Q2 due to government mandated operated capacity reductions in Turkey aimed at preventing the spread of COVID-19 in that region. Those restrictions are slowly being lifted and we anticipate operating at full capacity in fiscal -- our fiscal third quarter. I'd please ask you to turn to slide eight. Our Paper Packaging second quarter sales sell by roughly $16 million versus the prior year quarter, primarily due to lower published containerboard and recycle prices. Volumes were also negatively impacted by 24,000 tons of containerboard economic downtime taken in the second quarter. Paper Packaging second quarter adjusted EBITDA fell by roughly 4% versus the prior year as lower sales were only partially offset by lower segment SG&A expense and by the incremental adjusted EBITDA contribution for 11 more days of Caraustar assets this year. We estimate that PPS experienced roughly an $8 million adjusted EBITDA headwind during Q2 from non-essential customer closures. For comparison sake, Paper Packaging second quarter in 2019, the adjusted EBITDA was negatively impacted by a $9 million inventory step-up charge that was previously disclosed. During the quarter, we announced a $50 a ton price increase for all grades of uncoated and coated recycled board effective with shipments beginning May 13 of 2020, which were continuing to implement. Yesterday we announced the closure of our URB mill in Mobile, Alabama as part of our ongoing network cost optimization activities, and then further enhance our capital deployment efficiency. The total capacity of this mill was 140,000 tons, which includes a shutdown of our mills number one paper machine that was accomplished in October of 2019. We thank all of our colleagues in Mobile for their hard work, and we're committed to supporting them through this transition. I like to ask you to turn to slide nine. Similar to our Rigid Packaging review I want provide a little bit more commentary on what we're seeing in the Paper Packaging end markets. Our CorrChoice corrugated sheet feeder network consists of six state-of-the-art facilities east of the Mississippi river that service a mix of independent and integrated corrugated box plants. During the quarter sales to integrated customers were softer as they internalized some of the volumes previously outsourced to us in their own networks. Sales to independent customers were negatively impacted by lower durable goods demand, as a result of the slowing economic activity and all the automobile manufacturing closures. Similar to our Rigid Industrial Packaging business, our Tube and Core business serves a diverse mix of end markets. We estimate that roughly 40% of our top 10 Tube and Core customer markets were labeled as non-essential businesses during the health crisis in Q2, which dragged on our results. We are particularly impacted by weak demand and cloth, yarn and carpet segments, film core volume growth was solid versus the prior year and we expect demand for construction and protective board products to moderately improve over the remainder of the year. I'd like to now turn over the presentation to our Chief Financial Officer, Larry Hilsheimer on slide 10.
Larry Hilsheimer: Thank you, Pete. Good morning, everyone. I want to really reiterate Pete's comments to all of those impacted by COVID-19 and express my thanks to each of our colleagues for their dedication and professionalism during these very challenging times. Slide 10 highlights our quarterly financial performance. Overall, Greif generated very solid results. Second quarter net sales excluding the impact of foreign exchange fell roughly 3% year-over-year. However, adjusted EBITDA rose strongly by roughly 12%. That improvement was driven largely in RIPS, but all segments and the corporate center recorded reductions in SG&A expense. Currency was a modest $2 billion headwind to total company results compared to prior year. Below the operating profit line, interest expense decreased by roughly $4 million and our bottom line adjusted Class A earnings per share rose 17% versus the prior year quarter to $0.95 per share. During the quarter, we recorded a $38 million loss related to the CPG divestiture, roughly $36 million of that $38 million relates to a portion of the PPS segment's goodwill that we were required to allocate to the transaction. That non-cash charge has no associated tax benefit, which is why our GAAP tax rate was more than 62% during the quarter. Our second quarter non-GAAP tax rate was 32.6% and we continue to expect that rate to range between 27% and 31% for fiscal 2020. Finally, second quarter adjusted free cash flow improved by roughly $33 million versus the prior year quarter to a source of $79 million due to increased EBIDTA and lower CapEx. Please turn to slide 11. Given the continued uncertainty caused by COVID-19, we are withdrawing our fiscal 2020 adjusted Class A earnings per share and adjusted free cash flow guidance as it is very difficult to estimate projected near-term business performance with precision. We are providing the key fiscal 2020 assumptions. You see listed on slide 11 to assist with modeling. In terms of what we saw in May in RIPS, steel volumes were down roughly 8% on a per day basis versus May, 2019 as customers destocks while IBCs were up slightly over 10% per day. In PPS, CorrChoice volumes were down single digits on a per day basis versus May of 2019, while volumes in our Tube and Core business were a bit softer than that. Demand for corrugated sheets and Tubes and Cores improved between April and May this year. So, we're hopeful that we're beginning to see a positive trend as businesses reopened. We currently believe our fiscal third quarter will be our weakest volume quarter before overall demand later this year. I think it's important to point out at this point that our quarters obviously differ from most as many companies talk about their second quarter being their weakest, our third quarter will be our weakest. Please turn to slide 12. We can't control how long this pandemic will last or determine what the ultimate impact will be to our global customers. That said, we have taken steps to prepare a portfolio for an economic downturn by identifying variable cost reduction actions, determining potential back office reductions or delays in hiring open positions and optimizing capital spending plans and working capital requirements. In fact, we've already implemented actions to degenerate roughly $40 million of EBITDA benefit over the remainder of fiscal 2020. We believe our business today is significantly better positioned to weather a prolonged economic slowdown than it was in 2008. We've optimized our portfolio by closing or divesting 62 underperforming or non-core assets, while replacing and walking away from over $400 million of low margin business and securing new higher margin business of over $400 million via organic growth activities, resulting in EBITDA growth of over 65% since fiscal 2015. We've expanded into newer and higher margin packaging substrates like the IBC and penetrated less cyclical markets, such as food, pharma and agriculture. We've also implemented a single ERP platform across the majority of our business, enabling better and faster decision-making, which is critical during a downturn. Please turn to slide 13. Our balance sheet is solid with substantial access to liquidity and a well structured debt maturity profile. We currently have $690 million of available liquidity undrawn on our revolver and another $72 million of cash and equivalents. Our only near-term debt maturity our senior notes due midway through 2021 with a principal of 200 million euro. At quarter-end, our compliance leverage ratio stood at 3.6, well below our stated covenant 4.75.  Given current market uncertainty to be prudent, we are reducing or postponing non-critical expenses, including capital investments. We now anticipate spending between $120 million and $140 million on CapEx in fiscal 2020, roughly $10 million of the CapEx reduction relates to the sale of CPG. Roughly 24% of our remaining forecasted CapEx is earmarked for various growth projects and could be reduced further if needed. Lastly, our largest pension program which resides in the U.S. is fully funded from an ERISA standpoint with no required contributions for the next three to four years, although we currently intend to continue making contributions. While our financial position is strong, we will continue to evaluate our liquidity needs and options to reinforce our balance sheet as needed. Please turn to slide 14. We've used this slide for a numbers of -- number of quarters and point -- and the point is that our capital allocation priorities are firm. They are funding organic CapEx, delevering our balance sheet, maintaining steady dividends and pursuing our strategic growth priorities in IBCs. IBC reconditioning and containerboard integration, consistent and predictable capital allocation, we believe is critical to value creation. So what you see here is what you're going to get. With that, I'll turn the call back to Pete for his closing comments before our Q&A.
Pete Watson: Hey, thank you, Larry. And if everyone could please turn to slide 15. In closing, I want to thank all of our 16,000 global colleagues again for their commitment to Greif and to our customers. While a lot is behind us, there will be more uncertainty ahead as countries and communities reopened their economies. That said, I'm extremely confident in Greif's ability to navigate these uncertain times. We have a highly engaged and motivated team focusing on providing differentiated service to our customers. We're well-positioned to serve a variety of end markets through our industry leading product portfolio and our commitment to customer service excellence. We are successfully advancing our strategic priorities and our balance sheet is strong. Thank you for participating this morning, and we appreciate your interest in Greif. And we look forward to taking your questions.
Operator: [Operator Instructions] Your first question comes from the line of George Staphos of Bank of America. Your line is open.
George Staphos: Thank you. Hi, guys. Good morning.
Pete Watson: Good morning, George.
George Staphos: Thank you for taking my questions. Thanks for all you're doing on COVID and congratulations on the quarter. My two questions, first in terms of the May volume trends. Pete, can you talk a little bit about the geographic trend you might be seeing and kind of parenthetical here. There was a comment about trend getting better between April and May, and I wasn't sure what that was referring to? The second question, just on SG&A cost reduction. You did a great job there. I think the year-on-year number was down roughly $20 million. How much of that is sustainable going forward? Was there any kind of one-off that maybe dissipates over the course of the year? And what do you think you can do from some of these additional costs reduction efforts, that you talked about generally? Thank you.
Pete Watson: Yeah. George, let me talk about some of the volume trends from April and May for your question, then I'll ask Larry to comment on the SG&A. So, when you look at volumes overall, I think you first have to look in over the last four months the global health crisis. I think, we've done a really excellent job in demonstrating. We've a really resilient and battle-tested supply chain. So, our sourcing and materials are regional by design and we've had no disruptions at all, have been very stable. And our operational footprint is very diversified as we've talked about. And I think we've done an excellent job at demonstrating our customers that we can deliver in very challenging times is both reliable and dependable. And our value propositions, we've always talked about security of supply and customer intimacy. So, there's been some challenges.  But if you look at our volumes from April to May transition, I'll talk about on a per day basis, because May compared to a year ago, it was two less days. So, if I could -- let me just walk through RIPS and then talk to about paper because they're slightly different in transitions on volumes from April to May. In our Rigid business, in large steel drums, on a global volume basis per day, our large steel drum business globally is down about 5%. And that evolution really is aligned to the geographies around the world that are consistent with how economies are recovering the COVID-19 cases. So, in China, for example, in May, the PMI was above 50%, which is a significant change in the last two or three months. And the large steel drum volume in APAC was up 1% on a per day basis compared to April. And if you look at EMEA, EMEA's volume on large steel drums were down 7% on a per day basis compared to April and North America was down double-digits. Now that's really reflective as economies reopened and businesses are transgressing across this health crisis. In IBC and reconditioning, it's a much stronger basis. It's not as high as the breakneck pace that we had in Q1, but we're still up 10% versus prior year. And again, that's with two less days. So, while we are challenged April to May in steel drums around the world, we still see positive growth in our IBC and IBC reconditioning. And again, that's talking about a transition April to May. As we talked about in our comments earlier in prepared remarks, I think we're going to have more challenge volumes outlook in steel in our third quarter, which is May through July. In IBCs, we still expect to see double-digit growth of 10%-plus in that range for our third quarter. If you look at Paper Packaging, those trends are slightly different. So, we had a little more challenging volumes in Paper Packaging, particularly converting. If you look at our volumes in our mill system, we expect on a per day basis to be up 3% in May compared to April on a per day basis. May backlogs and into June -- it's early June, the backlogs in our mill system are very steady with four or five weeks of backlog. URB volumes is improving in May compared to April, up 1% versus May on a per day basis. And our CRB volume continues to be very steady particular in our Tame, Iowa and Sweetwater, Georgia facilities. For full disclosure, we did take we did take 5,000 tons of economic downtime in containerboard on the West Coast only. That's really a reflection, not a market demand just to delay an ag orders in that market. If you look at our, volumes in April to May in our converting operations paper in CorrChoice, which is really tied into our containerboard system, on a per day basis May versus April we're up 6%. And what we saw in the last eight days of May really strong volume at CorrChoice. And I think that's reflective of the durable manufacturing businesses, such as the automotive plants starting to reopen and fill up their supply chain needs. And again, this is a business as you know, that has backlogs and visibility of less than 24 hours. So, we don't have tremendous visibility out past tomorrow, but again, there's more positive signs that our May volumes on a per day basis are much improved versus April. In Tube and Cores, our May volumes were flat to April on a per day basis. And again, we have some high exposure in that business to our non-essential businesses that are starting to gradually open without disruption. And in that business through Q3, we expect gradual improvement from May into June and July. Again, overall, I think in our Paper Packaging, we're cautiously optimistic. That as the health crisis continue to recovers, we can see improvement sequentially from May through the end of the third quarter in our paper business. So, I'll pause and then ask Larry to comment on SG&A.
Larry Hilsheimer: Great. Thank you, Pete. And George, with respect to the SG&A, when you really break it down year-over-year, the second quarter you had about $12.3 million of salary and benefit reductions $2.5 in travel and entertainment. Professional fees were down about $3.2. Depreciation of our IT LN system caused depreciation actually be up about $2.5 million and other miscellaneous things across the board, local taxes, bad debt, those kind of things, we're down about $3.5 million. So, overall about $%19 million. When you look at it, is that sustainable, we've been focused on reducing our SG&A costs for some time, as you know, committing to get down below 10% by 2022. So some of the reductions are just part of that effort. We, obviously, have put in a lot of actions, as I mentioned to reduce costs. We did adjust incentives in the second quarter, which pumped the number up a bit. But the -- if I cut to the chase, we do expect that our SG&A will continue to run at substantially lower levels than last year.
George Staphos: Thank you very much.
Pete Watson: Thanks, George.
Operator: Your next comes from the line of Adam Josephson of KeyBanc. Your line is open.
Adam Josephson: Pete and Larry, good morning. I hope you and your families are well.
Pete Watson: Yeah. Thanks, Adam.
Adam Josephson: My two questions, one on, Peter, if I may start with rigid margins. Obviously, you had a phenomenal margin quarter. You mentioned many things. Obviously, you have the SG&A reductions. You also talked about opportunistic sourcing. You had a timing benefit. Can you just talk about what exactly drove that rigid margin in the quarter? How much was opportunistic sourcing? What exactly that was? And how much were timing benefits of raws falling and prices not catching up, et cetera? And then what your expectations are in terms of margins in that segment normalizing thereafter.
Pete Watson: Yeah. I will make a few comments and Larry can get into the specific financial impacts of each of those categories, Adam. But yeah, we were really pleased with the RIPS performance. And when you look at that business, we consolidate that into a global organization nine months ago Ole Rosgaard leads that, and he's really a leading a trans -- organizational transformation and longer term we continue to expect to get benefits from a lower cost structure, a more efficient manufacturing footprint, and also a continued push to growing our higher margin products. So, we really feel good about the improvement trend in that business. The details really -- as we talked about, we had favorable price and product mix, meaning we had higher margin growth products. We talked about the IBC and reconditioning results. We had lower raw materials and advantageous costs, raw material sourcing, and we did a really cost -- aggressive cost reduction activities. We consolidate two plants, one in Brazil and one in the U.S. Larry talked about organizational SG&A reductions, and we had a lot of discretionary spending reductions. And I'll let Larry walk through the bridge and what those dollars meant in each of those categories.
Larry Hilsheimer: Thanks, Pete. So, Adam, on a value add percentage, we went from 45.8% to 50% in RIPS. So, really nice improvement. About 1% of that was some the sourcing opportunities and most companies would not need a sourcing group if you're going to be able to buy at index prices, what you have them there for is to work the market and see if you can find opportunities in a dislocated market like we're in, currently those opportunities surface more often. And so, our team did a great job of sourcing about $7 million of raw material costs benefits relative to index prices. Some of that benefit got offset by currencies in terms of how that translates over to U.S. dollars. We lost part of that benefit, but then also timing, we talked in recent years about the timing of our PAM adjustments being a drag on us. It actually turned around for us a bit in this quarter, so that was -- the sourcing was about 1%. The timing was about 1%. And then the other 2.2% was just a really good activities around managing pricing for non-raw materials. We've been talking about how that's been ongoing for the last year or two. And some of that started to flow through in our quarter. If I go to overall adjusted EBITDA and you look down through those, the others are the pickup in SG&A. Some change in just allocations because the PPS business getting bigger. They get bigger relative share of our corporate allocations, which is just obviously a shift. Depreciation actually was a drag as we implement the ERP system and other things. And there's a few other negative things that are offsetting that get us to that 4.4% increase in our EBITDA margin.
Adam Josephson: I really appreciate that. And just on the OCC situation, obviously, it's been a rollercoaster ride this year and defied, I think everyone's expectations both on the way up and now I think on the way down. So price -- June prices are coming up tomorrow. I think most people are expecting to decline. The question is how big of a decline. So, can you talk about how much of a drop you're expecting an OCC in June and perhaps thereafter as well, and how that's influencing your thinking about the URB price increase considering that URB demand has been really challenging? So, the increase appears to be tied to OCC, which is about to drop, I think by at least 20 bucks a ton. So, can you walk us through your thinking there in your OCC expectations for the balance of the fiscal year? Thanks very much.
Pete Watson: Yeah. Adam, we're expecting a $30 ton decline based on our exposure to OCC markets and our recovered fiber group. But wait and see definitively tomorrow. I know people have different opinions. Regarding our price increase, it was really predicated on cost inflation as well as market demand. As I indicated, our volumes were up in our boxboard mills over 4% versus prior year. And again, in May versus April going into May, our volumes continue to be steady with steady backlogs four to five weeks. So, when you look at cost inflation though at OCC, there's a $90 a ton increase from January to present in a $30 a ton decline in pricing that occurred in February on boxboard products, URB and CRB, which created $120 price cost squeeze. So, we are moving forward on the pricing increase in -- from mid-May and we need to maintain acceptable margins for our shareholders and that's our position.
Adam Josephson: Thanks, Pete.
Pete Watson: Yeah. Thank you, Adam.
Operator: Your next question comes from the line of Ghansham Panjabi of Baird. Please go ahead. Your line is open.
Ghansham Panjabi: Hey, guys. Good morning. How are you?
Pete Watson: Hi, Ghansham. How are you doing?
Ghansham Panjabi: Yeah. Good. Thank you. I guess, can you Pete, give us some more details on the end market verticals for RIPS that you have outlined in the pie chart on slide six? A lot of companies in the chemical spectrum and industrial that are downstream from you have talked about 20%-plus declines in April. Obviously, a bulk of the world was shutdown in the month and your volumes were actually up in North America and the EMEA region during the quarter. So, can you help us reconcile that outperformance? What did share gains play -- were those part of that as well?
Pete Watson: Yeah. So, it's a good question. And really it's a case of haves and have nots on the end market exposures in our global RIPS business. And as you can imagine, we saw a really strong March sequentially in our quarter. So, February was fairly consistent. March was very, very strong. And in the second half of April, we saw fairly strong volumes, and it started tailing off at the end of April and as I indicated in my comments to George's questions in May. But if you look at the end markets where we saw really strong volumes on a global basis where exposures to pharma and personal care, we had a lot of customers transitioned some of their manufacturing capabilities to alcohol based disinfectants. As I indicated in March, we had early strong restocking in the middle of the quarter. And it continued into early April. The offset of that was lower demand in lubricants, paints and coatings. And as you can imagine, when the shutdown mid-March through April, lubricant business has really negatively impacted by their reduced amount of commercial and industrial vehicle traffic, as well as some lower manufacturing activities in non-essential businesses. So, the exposures to our IBC and reconditioning business were much more positive, because they're more geared to some of those products that we're having stronger end market growth. And our steel drum while were flat year-over-year, I think that's reflected more of the commodity and bulk -- and lubricants in bulk and commodity chemicals. But I think we benefited just from overstocking in March and in April. Our large plastic drum business was up 2.5% in the quarter. And that exposure, again, was to pharma and personal care. We had a little bit lower ag chem demand, mainly because of access to labor and some delayed seasons. We also had a little bit of an addition because we added new capacity in the U.S. and w we're doing well in that markets. But again, in the IBC and reconditioning, we -- that demand exposure food, disinfectants and detergents really were beneficial to us in the quarter. We expect some of those markets to maintain their strength. But it's very clear that destocking is occurring at the end of April into May. And we expect through our third quarter that destocking is normalized.
Larry Hilsheimer: To your other part of your question, Ghansham, on a share pickup, we feel very confident and know that we've gained a share of wallet and new customer business. And we attributed directly to our focus on customer service. At the same time, Pete mentioned in his comments, we walked away from another very low margin, high volume customer in Latin America, and we've also walked away from some other low margin business in other parts of the world, but net-net, we feel comfortable that we're gaining market share in the places we're targeting.
Pete Watson: And I think what’s really important …
Ghansham Panjabi: Okay. And then for my second question in terms of -- sorry -- go ahead. Go ahead, Pete.
Pete Watson: The other comment was we -- our growth initiatives, strategic growth initiatives IBCs, but also in Jubail, Saudi Arabia, that business really continues to go very well and their exposures are outside of the Middle East. So, we're real pleased with the investments we've made, and they're starting to show up in some of our growth and profit assumptions.
Ghansham Panjabi: Okay. And then for my second question, in terms of the opportunistic sourcing you've benefited in 2Q, is there -- should we assume that there's a positive component for the third quarter as well? And then just in terms of your base raw material basket for the cost structure for RIPS, will the paths continue to be favorable in 3Q as well to the same extent?
Larry Hilsheimer: Yeah. I -- Ghansham, I would -- those things tend to be opportunistic. I think it's hard to build those into your model and count on them recurring. As I mentioned, we do charge our team in sourcing to achieve some of those. We budget in them achieving a benefit to index spread. But we do think there'll be some in Q3, thus far I would not say it would be at the level of Q2.
Ghansham Panjabi: Okay. Perfect. Thanks so much and stay safe.
Pete Watson: Yeah. Thanks, Ghansham.
Operator: Your next question comes from the line of Mark Wilde of Bank of Montreal. Your line is open.
Mark Wilde: Thank you. Good morning, Pete. Good morning, Larry.
Pete Watson: Hey, Mark.
Mark Wilde: I wondered just going back to Adam's question around OCC, is it possible to get a sense of what your OCC cost will look like in the second quarter? And then best as you can estimate now based on May and what you're seeing in June where you might end up in the third quarter?
Larry Hilsheimer: Yeah. We basically -- Mark, if you go back, we saw OCC about 82 bucks a ton in April, and it rose up to 119 in May. So, really steep jump up. Our view is we think things will continue to trend, but the challenge we are trying to project out much is one -- and one of the reasons we withdrew guidance is if opening the country back up creates another spike in severe hospitalizations and things, who knows where this thing goes, because clearly the drawdown shutdown of retail and restaurant trades impacted this -- the source of OCC dramatically. And then you combine that with really strong demand in the entire paper space. So, we have -- our view that is going to be at least 30 bucks tomorrow. We do think that it should trend down if we don't run into a spike, because you have those businesses opening up and that source should be coming on. And we think the demand side is probably a little weaker, just particularly if you look at export and that kind of thing. So, we think there's a path down, but we haven't really tried to forecast exactly where we think that ends up beyond the next -- reduction tomorrow, Mark.
Mark Wilde: And do you have a sense -- Larry, can you give us any kind of a ballpark number for what you might have averaged during the second quarter? So, it was a little hard from the outside to kind of know how this rolls through your inventories. And we know that this quite happened during the quarter. 
Larry Hilsheimer: Yeah. Do you remember what the average number was, Matt?
Matt Eichmann: Yeah. So let's say February, March and April, we just ran those numbers; 37 in February, 47 in March, roughly 82 bucks in April. When that -- an average cost of the quarter.
Larry Hilsheimer: Thanks, Matt.
Mark Wilde: Okay. That's really helpful. And then I wondered just on downtime, you mentioned 24,000 in containerboard in the second quarter, is all -- the only amount that you've taken in May the 5,000 on the West Coast that Pete mentioned?
Larry Hilsheimer: Yeah. It was really isolated, Mark, to a specific delay in some customer orders. And it wasn't really reflective of the demand pattern we're seeing in our containerboard system. 
Mark Wilde: Yeah. Okay. The last one for me is just kind of related to that. One of your bigger competitors flag walking away from some sheet business last month when they reported. I wondered if you can just give us some more general color about what you're seeing in both pricing and volume in that sheet market.
Pete Watson: Yeah. As you know, our exposure in our CorrChoice business, because we sell predominantly to independent box makers, and we also sell the integrated box plants. It's really two worlds. Most of our exposure or not most, but a large percentage is, is to durable markets and the automotive plan exposures with them going down really put a challenge in our volumes. So, anytime you have a market and the sheet market is very consistent with ours, with others. When it gets, volume sensitive, the market can get little chippy. And I think that there's experience of that throughout the quarter.  It depends on what -- let me back up. You have some integrated box plants that will decide, because their volumes might not be a really strong. They will get in the sheet market for a short term and their methodology might be different than a true sheet feeder. So that attributes to the chippiness. But we try to stay fairly core to what we do, which is real high product complexity, low -- high turnover of orders, low MSF, order quantities, and try to take a value approach. So, there is chippiness, but that is pretty common in this type of environment. So, it's nothing new or unusual, Mark, in our view. 
Mark Wilde: Okay. That's helpful. Thanks, Pete. Good luck for the quarter.
Pete Watson: Thank you, Mark. 
Operator: Your next question comes from the line of Steve Chercover of Davidson. Your line is open.
Steve Chercover: Thank you. Good morning, everyone. 
Pete Watson: Hi, Steve.
Steve Chercover: So, just to clarify, was there about a $4 million transfer from RIPS to Paper Packaging in terms of overhead in the quarter? And is that the run rate?
Larry Hilsheimer: That's about it, Steve. Yeah.
Steve Chercover: Okay. That's fair. I was kind of late in the session as well. And then, Pete said that fiscal Q3 will be the weakest from a demand standpoint and looking back over many years growth has been very much second half story. So, just I'm wondering if that's still the case.
Pete Watson: Yeah. From a demand standpoint, the reason we pulled guidance is, it is uncertain, but our best guess today is that as economies reopen, the pace of our volume would be dictated on how disrupted supply chains are and the velocity of destocking in our RIPS business. And so, that will determine how we evolve in our Q3 on volumes. We do know that in our RIPS business that conical season, which is ag related, we are optimistic that that will be a positive position. We believe in the West Coast of the U.S. that that will be positive volume for us in our fiber business and steel drum business. Our Latin America juice season and ag season has been delayed. So that's some potential upside. But it's just too uncertain with what we see in the RIPS business. I'll tell you in paper we are a little more optimistic. I think our volume trough was in April in our paper business, in our converting business. And our margin trough will be May because as we've talked about the OCC squeeze, but I think you'll see a sequential improvement in that business in Q3, because the exposure to durables and the economies are reopening, all that said, if you don't -- if you have a controlled reopening the economies without any real significance of supply disruption and you don't have a severe second wave of COVID cases, we see an evolution in Q3 -- toward the end of Q3 and improving in Q4.
Larry Hilsheimer: Yeah. Steve, I'd supplement what Steve -- what Pete said. I mean, Pete and I tend to be pretty optimistic people. Generally, I have to put on my CFO hat sometimes to be pessimistic by profession. But when you're -- when we tried to go through our normal forecasting process, our business unit leaders are doing everything they can to talk to all of our customers. Our customers aren't able to tell them much out more than 15 or 30 days. And most of what we hear tends to be a bit pessimistic, but then every time we get the weekly results, they seem to be still going fine. Obviously, May trail down a lot. And as Pete mentioned, we think that's tied to destocking, but we tend to be a GDP industrial production type of business, and all of the predictions of the economist. I mean, you're showing the second calendar quarter of the year just diving down in a 30%-plus down. Well, that happens, that should have a negative impact on our business. And so, those disparities between how Pete and I are feeling about things and some of the optimistic things we see measured against what we're seeing is all the economists telling us it's going to be Armageddon, have us at a point where we just decided we need to pull guidance.
Steve Chercover: Yeah. Did you say, Larry, that you had $40 million in EBITDA benefits in the second half of the year from the cost initiatives?
Larry Hilsheimer: Actions -- initiatives that we've taken, which also plays into the answer to the question from George about, do we believe we'll be able to continue seeing SG&A down low? Some of those -- there's some revenue items, there some cost items, those kinds of things, but yes, $40 million for the second half of the year.
Steve Chercover: That's good. All right. So, despite the volume from -- the volume from an earning standpoint could still be a push or even skewed a bit towards the second half, because obviously the worst was in Q1 -- or sorry -- in the quarter just -- I'll just leave it there. Okay. One other odd ball question, because I've been watching too much TV. Just recently I've seen ads for these Bagster bags from waste management that carried 3,300 pounds. And it looks exactly like one of your flexibles. Are you familiar with those? Is that an opportunity? Do you know, you know what I'm talking about?
Pete Watson: I haven't been watching that much TV, Steve, but I see pictures of that. But I would be lying to you if I could intelligently talk about if that's an opportunity or not. But I will ask Hari Kumar and I promise you he'll have a response to me by tomorrow.
Larry Hilsheimer: Thanks for your enthusiasm.
Steve Chercover: Dumped? It's a flexible dumpster. It's what it is. Okay. Thanks, guys. Stay safe.
Larry Hilsheimer: I'll call waste management.
Pete Watson: Thanks, Steve.
Operator: Your next question comes from the line of Justin Bergner of Gamco Research. Your line is open.
Justin Bergner: Hi. Good morning, Pete. Good morning, Larry.
Larry Hilsheimer: Hey, Justin.
Pete Watson: Hey, Justin. How are you?
Justin Bergner: Good. Thanks. Hope you guys are well. In addition, I guess to start the sourcing benefit that you characterize the $7 million in the second quarter with some carry over benefit in the third quarter. If we were to look back prior to the second quarter, what type of levels with the sourcing benefits have run at sort of quarter to quarter, was in material or was it sort of de minimis prior to the second quarter?
Larry Hilsheimer: It was slightly less than the first quarter, Justin. And if you go back further and actually, if you went back in our transcripts a couple of years, a number of years ago, we were almost regularly talking about strategic sourcing benefits. They faded away in 2018 and 2019 and we virtually had none. And you look at the year-over-year comparisons and we would talk about that. But like I said, when you get to dislocated markets where things are being disheveled and customers -- businesses and industries are shutting down, suppliers end up having to apply that they don't have nowhere to place. And you have those opportunities. If you're sourcing groups out doing a good job. 
Justin Bergner: Great. That's helpful. So, it's sort of like a -- I mean, it's sort of like a trading type profit, when the opportunity presents itself, I guess. So.
Larry Hilsheimer: That's right.
Justin Bergner: I'll move on to a second question, which is I noticed interest expense came down $4 million or $5 million, is that mainly because of the proceeds from the sale? And if so, should I read into sort of the similar interest expense as sort of a harbinger that, while you're withdrawing the free cash flow guide, one might not expect it to be too dissimilar from your prior guide, or one might expect a number that you're …?
Larry Hilsheimer: Yeah. Justin …
Justin Bergner: Okay. Great.
Larry Hilsheimer: I feel comfortable answering your question, but I'll actually have David Lloyd, our Treasurer answer it, because he's sitting right here and he'll be much more articulate and accurate than me. 
David Lloyd: Yeah. So, the interest expense decline is really driven off of a couple of things. So, obviously, we had a fairly heavy pace of debt repayment during the quarter, at least part of which was driven by proceeds from the CPG divestiture. Obviously, variable interest rates were at significant lows. And so we benefited from that significantly as well. And then we've done some things in the portfolio as well to drive some lower interest costs also.
Larry Hilsheimer: Then on continuing. 
David Lloyd: Yeah. So I think the -- what we have forecasted in the past is not going to change a whole heck of a lot from an interest rate standpoint. So, most of our rates are fixed at this point. And -- yeah.
Justin Bergner: And then, I guess, for the second part of that question, I mean, is it presumptuous to sort of assume based on the interest expense not changing too much that the free cash flow -- while sort of pulled is there's no reason to expect it to be too dissimilar from the prior view?
Larry Hilsheimer: Yeah. I mean, from the impact of interest expense, that's true. I mean, obviously, with us pulling back on providing guidance, I mean the main driver of cash flow is obviously operations. And so that's why we are not giving free cash flow guidance for the remainder of the year either, Justin. But we do feel very confident about how well our treasury groups managing cash around the world and how well our business is doing, focusing on working capital. So, we feel very good about what our cash flow for this year will be. But it's all going to be relative to results. And obviously, as we said there's just too many variables out there right now for us to give any kind of guidance range around that.
Justin Bergner: Okay. Thank you for answering that question. All the best.
Pete Watson: Thank you, Justin. 
Operator: Your next question comes from the line of Gabe Hajde of Wells Fargo Securities. Your line is open. 
Gabe Hajde: Good morning, Pete, Larry, Matt. I hope you and your families are doing well.
Pete Watson: Thank you, Gabe.
Larry Hilsheimer: Same for you, Gabe.
Gabe Hajde: Thank you. I guess, I'll try to take a stab again at the -- at the guidance question, just trying to tie in, Pete to your comments about volume trajectory. Can you -- I guess, maybe any sense of directionally, if the volume environment plays out as you expect that EBITDA would be down on a sequential basis from fiscal Q2, is that what I'm hearing?
Pete Watson: Well, I mean, it's hard to predict that. But again, we expect our volumes in our rigid business to be much lower in Q3. Some caveats is how fast supply chains recover and weather disruptions determines the evolution of that within the quarter into Q4. I think it also depends is, economies are recovering from the health crisis. And you look at the case rate improvements, do you have any disruptions or negative events on the medical side that could hamper, that recovery? I think they're just a lot of unknowns that could be a variable -- that could impact it. But as what we know today, we think we're going to have a tougher volume month in RIPS in Q3, a worse in May and slowly improve in June and July, a better view in Q4 in Paper. I think you're going to see an improving scenario in volumes. Although, as I mentioned, April was a lower point for our converted products in April. But again, the variables on how fast the durable market opens, how fast the automobile manufacturing plants open. What's the demand of consumers? Is there a disruption during the health crisis is really challenging to predict. We're trying to give you our best view of the volume scenarios across both RIPS and paper, Gabe.
Larry Hilsheimer: Yeah. And Gabe, you think about it, auto, like Pete explained earlier had, has a big impact on our CorrChoice volumes and they peaked up toward the end of May, as some of the auto came back online. But -- and nice articles in the Wall Street Journal today about consumer demand. And some of the dealers not having enough inventory on F-150 is and other kinds of vehicles, but then you have the challenges they have because their supply chain is so complex. And so some of them are having struggles, because they can't get parts from Mexico or whatever. So that -- it just makes it really, really hard to give you a solid answer where do we think things are going?
Gabe Hajde: I understand not a problem. All right. Maybe this one will be -- hopefully this one's easier. With -- I guess closing the second machine at Mobile Alabama, I'm assuming the residual that business will be kind of redistributed to other facilities. But can you give us a sense of what fixed costs savings might look like? And is that -- I'm assuming, is that part of the $40 million that you talked about or is that above and beyond, or something separate? 
Larry Hilsheimer: Yeah, there's -- Gabe, there's about $1.5 million just shy of that for the remainder of the year related to closure. And that's a $5 million on annual basis. And just to put this in context, you recall before we ever got into COVID, we'd been talking since last June about being in an industrial recession. So, we kicked off a process last fall of going through and reviewing every single one of our plants across all of our businesses that has led already the closures of the two RIPS plants that Pete mentioned. And that was also the genesis of the closure this plan. It's just not an efficient one, and you're right. We shifted all the business to -- we will shift all that business to other facilities. It just wasn't a cost effective operation, unfortunately.
Pete Watson: And Gabe, just from a customer transition, it's a little easier for us, because over 95% of our customers in that facility were all consumed internally with our own Tube and Core facilities.
Gabe Hajde: Interesting. Okay. And I guess, maybe the last question you -- I think Larry had made a comment of alternate -- sourcing of alternative products within RIPS outside of materials, which I think is maybe 60% or so of the cost of goods sold wheel. So that sounds like it's a sustainable go-forward benefit, any way to put a number on that or quantify for us.
Larry Hilsheimer: Yeah. It wasn't. I -- maybe I'm -- maybe I misstated something there. We have -- it was pricing and other actions that added to that margin of value add if that's the comment you're relating to. You might remember us talking about as we reinitiated our contracts on renewals, we put in for openers for other price areas, other than just the standard raws. So, yeah, we do think and expect that those things should continue in our business. But what you won't see is the year-over-year, because obviously as you go through that, but we do think a lot of that will be sustainable in our margin.
Gabe Hajde: Understood. Thank you, guys. Good luck.
Pete Watson: Thanks Gabe.
Operator: And your last question comes from the line of Adam Josephson of KeyBanc. Your line is open.
Adam Josephson: Pete and Larry, thanks so much for taking my two follow-up questions. One is, just going back to what Gabe was getting at, just in terms of the timing of EBITDA. So, when you went into the year, you were thinking 3Q would be the high point and that second half EBITDA would be higher than the first half. Now, obviously, that was pre-COVID. So a great deal has changed since then. Is it still reasonable to assume that 2H would be better than 1H or you just -- you have no way of knowing -- no one really has much visibility and so that, that savings probably out the window and there's really no way to know. What do you feel about that?
Larry Hilsheimer: Adam, I think -- well, first of all, I didn't have a chance to say, I hope you and your family are doing well. 
Adam Josephson: I appreciate it.
Larry Hilsheimer: Second, third quarter is clearly not going to be what it normally is that. That's painfully obvious to us. And like I said if the economist are right about where the calendar second quarter is, we should see negative impact in June. But again, Pete and I keep having optimism about it. So, it's just all over the place about where we think it could be. What we do not think 3Q is going to be what we thought it would be. We do expect that we'll start to see recovery in July and then through our fourth quarter. But trying to predict how strong that's going to be. I mean, I listened to more economist calls than I ever have in my life and I always listened to a lot, and the range is all over the place. So, we just couldn't get a handle on it to feel confident to give you real true guidance.
Adam Josephson: Yeah. No, understood. And just one last one on paper volume. So, I think, Pete, you said CorrChoice volumes were down single digits in May, and that Tube and Cores were down a little more than that. Could you be a little more precise about the extent to which the CorrChoice in terms of Tube and Cores were down year-on-year in May? And then just more broadly, we've looked at containerboard volumes in past recessions, and they've averaged down about 6% in the months in which the U.S. was technically in recession. And usually URBs are a bit more economically sensitive than even containerboard. So, who knows how long this recession will last. But just based on the economic conditions you, do you think containerboard and/or URB volumes are more likely to be up or down for the balance of the year on a year-over-year basis?
Pete Watson: Yeah. So, let me just reiterate what I've mentioned about CorrChoice and Tube and Core volumes, so my comments were about transitions from April to May, I wasn't referencing what our quarter volume. So, in CorrChoice from May -- April to May on a per day basis, they are up 6%. And if you remember in May, we have two less working days then a year ago. So that's why I'm referencing sequential evolvement of corrugated. So, 6% up from April to May and the volume in the last eight days at CorrChoice has been incredibly strong. And I referenced as durable manufacturing businesses that were closed and deemed non-essential during the shutdown that included automotive. They're starting to fill up -- open up and starting to fill up their supply chain needs. And that business CorrChoice has a lot of exposure to durables and automotive. So, that was my comment on April and May transition. We don't really have any backlog on 24 days. So other than telling you what I know today, I'd be throwing a dart at a dartboard, trying to think beyond that. In Tube and Core, relative to May volumes first April sequentially, they're flat. And again, going forward, we have a high exposure, non-essential businesses that are gradually reopening and based on how they come up, whether their demand is positive or there's disruptions in their supply chain would dictate what our trajectory is on volume in that business in Q3. In regard to your second question of trying to project what our volumes maybe in boxboard and containerboard, that's a hypothetical question it's -- because the uncertainty we have right now. I just not going to go there and try to predict what those two business will do beyond what we know today.
Adam Josephson: Yeah. Just one, on the year -- year-over-year, again, in CorrChoice and tubes and cores, Pete, I did hear you correctly, right, down single -- down single digits in core …
Pete Watson: Yeah. So if you're talking about Q2 volume, our Q2 volumes in CorrChoice were flat versus prior year and our Tube and Core volumes Q2 this year versus Q2 prior year is down 5%.
Adam Josephson: That was in Q2 and then in May -- I'm sorry, go ahead, Larry. Sorry.
Larry Hilsheimer: Yeah. In May, I said that the -- CorrChoice is down 8 -- high single digits in Tube and Cores slightly more than that.
Adam Josephson: Got it. Okay. 
Pete Watson: And that's because in May, there's two less working days. So the -- it's a tough comp over a quarter it equals out. But on a May-to-May comparison, it's just not equal. That's why I referenced on a per day basis April to May.
Adam Josephson: So the down 8% is not on a per day, it's total.
Pete Watson: It is as well. It is as well, Adam, on a year-over-year basis. But -- so yeah, CorrChoice and Tube and Core were down, one high single digits, one low double-digits.
Adam Josephson: Got it. Thanks so much. And best of luck in the quarter, Pete and Larry.
Pete Watson: Thanks, Adam.
Operator: There's another question from George Staphos of Bank of America. Your line is open.
George Staphos: Hey, guys. I'm sorry about that. Somehow I got dropped from the queue. Just -- I was curious, just if you can put 30 seconds of comments on the CSI scores that you're seeing in RIPS, you saw some nice improvement there. Thanks guys. Good luck in the quarter.
Pete Watson: Yeah. Thanks, George. Yeah, we are seeing increased CSI scores across the whole portfolio. And North America and APAC now are at 95% level. So, really pleased with that. A big part of the improvement though, is EMEA. EMEA is driving toward that low 90% range. So, I think again, having one global organization with a very singular focus is making a significant impact. And as Larry mentioned earlier, I think that's driving some of the opportunities we're seeing with new customers or expanded wallet share in some of our Rigid Packaging customer base. So, thanks for the question. 
George Staphos: Yeah. Thank you. We'll take the rest offline. Have a great day.
Pete Watson: Yeah.
Operator: And your last question comes from the line of Justin Bergner of Gamco Research. Your line is open.
Justin Bergner: Thanks for the follow-up. Just quickly the $40 million of cost actions that you are targeting for the second half, just to verify none of the benefit there was in the second quarter. And then how much of that $40 million is sort of structural versus a temporary as look beyond the second half of the fiscal year.
Larry Hilsheimer: Yeah. Justin, the vast majority of it is variable and not structural. The structural stuff was already built into our budget and process for the year. So, we're not counting that, because we had already planned it towards our focus getting down below 10% by 2022.
Justin Bergner: Great. Thank you.
Larry Hilsheimer: Thank you.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Matt Eichmann: Thanks very much Tucan, and thank you very much for joining us today. We appreciate your interest in Greif and hope that you have a nice weekend ahead. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.